Operator: Welcome to Corby Spirit and Wine's Fiscal Year 2025 Q3 Financial Results Conference Call for the period ended March 31, 2025. Joining me on the call this morning are Nicolas Krantz, President and Chief Executive Officer; and Juan Alonso, Vice President and Chief Financial Officer. Hopefully, you have had the opportunity to review the press release, which was issued today. Before we begin, I would like to inform listeners that information provided on today's call may contain forward-looking statements, which can be subject to risks and uncertainties that could cause actual results to differ materially from those anticipated. Risks and uncertainties about the company's business are more fully discussed in Corby's materials, including annual and interim MD&A filed with the securities regulatory authorities in Canada as required. [Operator Instructions]. Now I would like to turn the call over to Mr. Krantz. Please go ahead, sir.
Nicolas Krantz: Thank you, very much, and good morning, everyone. I'm Nicolas Krantz, and it's a pleasure to connect with you today. As usual, I'm joined by Juan Alonso, our CFO, to share the results for the 9-month period ended March 31, 2025. By the way, I will leave Juan to detail our financial results very shortly, but I would like to start by highlighting some key areas that have led to our continued performance in this market. So, our resilient performance against a volatile environment. We know the environment, and we'll come back to it. But despite that has delivered a robust plus 7% reported revenue growth in the full year-to-date March, boosted by, of course, our RTD business and of course, the representation portfolio. Guided by our vision to be the most innovative and consumer-centric company in the industry. Clearly, this has given us some strength and diversification of portfolio, and we have made some substantial reshaping of our company profile. And this effort today have meant that we have consistently outperformed the market now for the last 2 years in a row, showing basically the sustainable effort that we put in. Of course, this is what we highlighted over the previous quarters, and this is even more true. Our accretive acquisition of ABG and Nude have been pivotal in achieving our ambition to be a key player in Canada in this fast-growing ready-to-drink category. You will see in a minute that this is a category that is growth compared to the rest. And these acquisitions are directly contributed to growth. So, I'm very glad to report that. For this year, this growth is also further amplified by what we have called the route-to-market modernization in Ontario, which has been, of course, driving some, what we call stock pipeline fill for our business, benefiting our ready-to-drink and our wine portfolio. So, for those who are a bit less familiar since the last summer, grocery channels and convenience channel in Ontario for the sale of ready-to-drink beer and wine, and we've taken full advantage of that wine and RTD portfolio. But of course, this has translated as well to a degree in some reduction of some purchasing pattern at the [indiscernible] over the last few months. So that's a challenge that we are also managing. [indiscernible] not maybe on the Q3, I would say, the discrete sales, which, of course, Juan will explain that. First of all, it's a quarter that is usually a small quarter for us. But I think this year, what is very important is that this quarter was affected by a very strong phasing effect, and we're lapping a very high base comparison last year. Again, Juan will explain, but last year, we're growing very, very fast. I think 50%. And this year, we have seen as well some destocking of liquor board versus the previous quarter effect. A word as well on something that is quite important. Most recently, we know that the context of the trade war between the U.S. and Canada and the tariffs. So, some U.S. products have been removed from most of the provinces. But the impact on our sale has been minimal. We are not very much exposed to U.S. product. What we are is that, of course, because we have a strong Canadian portfolio, this is giving us some opportunity to take some space on shelf and probably to accelerate our market share gain. This has started, but of course, not yet in our shipment, and we expect, therefore, the [indiscernible] this overview and which is very important, of course, for us and while we generated some strong cash flow. So, on a year-to-date basis, supporting by an attractive for shareholders and ensuring that Corby maintained a solid balance sheet. And therefore, you will see the net debt-to-EBITDA ratio remained very healthy at 1.6 times, and this is also enabling us to continue our dividend payment as a last. Before we move to the next slide, before going to financials, a quick word on the commercial performance. So first of all, the market. So, as I mentioned, the spirits market in Canada is a bit challenging right now. It's in decline by minus 3.6%. I would like to mention that this decline is, in fact, a bit of a contrasted situation between the province of Ontario that has been impacted, and I think we've said that in the past by a series of technical effects with the strike during last summer, the route-to-market expansion, which, as we mentioned, impacted the [indiscernible] category. And the rest of Canada is, in fact, flat. So, you can see that in terms of consumer underlying demand, the situation is quite contracted. So, market around 3.6%, but with mainly coming from the decline of Ontario, where the rest of Canada is a flat. And in that context, glad, of course, to continue to report that we've been winning this market. Our decline has been limited to minus 1.9%. So, we are gaining share 1.6 points above the market, which is a significant. And on the RTD, which is, of course, a fast-growing category, also very happy to report that we are growing by plus 9%. It's a category that we are gaining share and our portfolio is starting to take some scale. And that's before, I would say, the famous Q4 where we have, of course, the spring and the summer coming. So, the RTD is upon us. But on the year-to-date basis for the 9 months, we are growing plus 9% in category. If we look at now briefly at the various categories, as I mentioned, so we are 1.6 points above the market. Most of the categories are a bit challenge for this year. So of course, the largest category is that now are either flatly declining or in modest growth. And on the year-to-date basis, tequila and Bourbon remain, I would say, the fast-growing category. Of course, for the Bourbon, we start to see the impact of the U.S. tariff. So, we see the situation that is very clear. But as you will notice, our market share is very small there. So, we're not very much exposed to the portfolio. We remain very much exposed to the large Canadian [indiscernible] and our whiskey portfolio, whether it's [indiscernible] malts, Irish, of course, or scotch [indiscernible]. Now if we move on before giving more detail on the financials, just to anchor a little bit on our growth strategy. This has been very, very consistent, as I mentioned. The whole objective for us is to grow faster than the market on the spirits side. Our portfolio now enables us to do that. This is very much our competitive advantage in terms of sales and marketing, and execution. So, we want to grow 1 to 2 points above the market, and this is over the last couple of years. We want to be also very much playing in the fast-growing category, and this is what the RTD is doing for us, but also on the tequila front, where we have invested a lot behind the Pernod Ricard brand. The third element, which for us is key in this market, is to continue to grow value ahead of volume. So, we do that through mix. We do that through pricing. And this is also a very an element for us to what we call revenue growth management. So, our promotional efficiency is a top of mind for the company. The other element that we've also mentioned is the dynamic portfolio management. We have made some acquisitions. We are also mindful of assets that maybe -- could be better used in other hands. So, we are very open to make sure portfolio is fit for purpose, and this is what we do. And finally, regarding the export, which is a more marginal part of our business, it is clear that with the U.S. situation, we've been able this year to ship, I would say, ahead of the tariff. We will continue to monitor the situation. We are not very much exposed and it remains an active market for us in both busy or small. They've been really doing quite well. And we continue, of course, our effort in the U.K., which [indiscernible] in terms of land in the indication, so performing quite well. On the RTD, listen, this is very much something that we put in place about 2 years ago, full, I would say, fruit-bearing right now. Very pleased with the integration, first of all, of Ace Beverage, but also of Nude. The Nude business was, of course, a business that we needed to turn around. The last recent data that we have are very, very positive, and we're starting to basically resume growth in British Columbia for this brand. And overall, the portfolio is behaving very well. The team has a buoyant pipeline of innovation to come online in the next few quarters. And this is a category where we intend to continue to grow double digit and probably in the longer -- in the midterm to be one of the key player in the Canadian market. So, with that, I will hand over to Juan to give you a bit more detail both on our Q3 and our year-to-date. As I mentioned, the Q3 is a bit impacted by some technical effect and comparative basis. I'm very pleased with the solid results we delivered on a year-to-date basis. Juan, over to you.
Juan Alonso: Thank you, Nicolas, and good morning, everyone. I'm Juan Alonso, Corby's CFO, and I'm pleased to walk you through our financial results. So very quickly, before we talk about our financial performance, you are going to notice some mentions of adjusted metrics and organic revenue growth. We believe that these non-IFRS financial measures support a better understanding of our underlying business performance and trends. We provided the detailed explanations for each of those elements in our Q3 FY '25 MD&A, and I invite you to refer to this document for any questions related to it. Let's start with Q3 results. As Nicolas mentioned, Q3 was challenging for Corby, reflecting difficulties in the broader spirit market. One significant impact was a reduction in inventory levels at the LCBO and weak consumer trends. Additionally, we faced a high comparison basis as we were comparing against an exceptional Q3 performance in FY '24. To provide some context, let's revisit the drivers behind last year's Q3 results. In FY '24 last year, Q3 delivered an impressive organic growth of 18%, driven by strong pipeline sales to new export markets and the recovery of our commission Pernod Ricard product shipment. Additionally, excluding ABG brands, the revenue weighting for Q3 FY '24 was higher than usual, contributing 23% of total revenue. In comparison, Q3 FY '23, 2 years ago, contributed 20% to total FY '23 revenue. Now turning to this year's Q3 results, we observed a normalization of sales off the high base set in FY '24. This was further influenced by destocking partners -- patterns at the Ontario Liquor Board. As a result, it becomes increasingly important to focus on the fiscal year-to-date results to reflect Corby's true underlying performance evolution. So now that we understand a bit more about the context, we can start off with the top line. Corby generated $48 million in revenue during Q3, reflecting a 1% decrease in reported revenue. And when excluding contribution from the newly acquired Nude beverage brands, our organic revenue saw a 9% decline. As I explained before, it's important to remember that Q3 FY '24 was a standout quarter with a remarkable 50% increase in reported revenue and 18% rise in organic revenue compared to FY '23. With a softer top line and increased costs due to our expanded operation, Corby saw a 10% decrease in adjusted EBITDA for Q3. However, this needs to be viewed in the context of FY '24, where we saw an outstanding growth of 53%. This ultimately impacts our bottom line, where we reported adjusted earnings per share of $0.16 and reported earnings per share of $0.14 for Q3. These figures represent a decline of 20% and 6%, respectively. Again, this decrease is accentuated by the high comparison basis from FY '24, where we achieved 9% growth in reported earnings per share and 44% growth in adjusted earnings per share. Despite our challenges in Q3, Corby recorded a slight improvement in cash from operating activities over Q3 FY '24, benefiting from favorable changes in working capital as well as interest and taxes. While Q3 was softer, we remain confident and optimistic in the strength and depth of our portfolio as well as the effectiveness of our dynamic strategies during the year. In line with our commitment in Q2, the Board declared a dividend of $0.23 for Q3, marking a $0.02 or 10% increase over the dividend declared in Q3 FY '24. That was our performance in Q3. Now let's shift our attention to the 9-month period ended March 31, 2025, or fiscal year-to-date March. Following a softer Q3, Corby's year-to-date earnings growth highlights the resilience of our portfolio and management, emphasizing our continued market share gains in a challenging and volatile market environment. Let's start with the top line. In fiscal year-to-date March, Corby delivered $174.8 million in revenue, which represents a solid 7% growth in reported revenue. This growth is powered by the contribution from our recently acquired Nude beverage RTD brands. When we exclude these brands, our organic revenue remains broadly flat comparing to year-to-date March FY '24. We'll go deeper into our revenue growth in the next slide. Our resilient top-line growth, combined with diligent cost management and operational efficiencies enabled Corby to achieve improvements in operating income. This reflected in our adjusted EBITDA, which reached $48.4 million, a steady 4% increase compared to FY '24. Despite some increases in interest expenses, including those related to leased assets, loans from Pernod Ricard for the acquisition of ABG and the noncontrolling interest obligations to ABG, Corby delivered $0.81 in adjusted earnings per share and $0.75 in reporting earnings per share. These figures represent a growth of 1% and 11% over the year-to-date March FY '24, respectively. Year-to-date March, Corby generated $29.2 million in cash flow from operating activities, demonstrating strong liquidity driven by an increase in earnings and also favorable changes in working capital management. Reflecting our confidence in our earnings and profitability growth and our strong commitment to our shareholders, Corby declared $0.68 per share in dividends for the year-to-date March. This follows the Board's declaration of $0.23 per share in dividends for Q3, showcasing a solid $0.05 or 8% increase over the same period in FY '24. Lastly, as of March 31, 2025, our net debt to adjusted EBITDA ratio was 1.6 times, reflecting a solid solvency position and a healthy balance sheet. Now let's go to the next slide and go deeper into our year-to-date revenue growth. Let's take a moment to review Corby's fiscal year-to-date revenue for March. So firstly, our domestic case goods revenue reached $138 million, with the Nude beverage brands contributing to almost $12 million. This resulted in a total reported domestic case goods revenue growth of 7%. Excluding the impact of the Nude brands, our organic domestic case goods revenue experienced a modest 2% decline in a further declining spirit market, clearly affected by LCBO strike in July and a reduction of spirits purchasing patterns in Ontario. However, our dynamic RTD portfolio helped offset these challenges by effectively tapping into the grocery and convenience store retail modernization opportunities in Ontario. Secondly, our commission sales rose to $22.9 million, demonstrating impressive growth of 17%. This increase was driven by imported RTD and wines, which successfully capitalized on the retail modernization in Ontario. Lastly, our export revenue totaled $11.2 million, reflecting a 12% decline year-over-year. This decrease comes from lapping the pipeline fill to new markets during last year, which had seen a remarkable 44% increase compared to year-to-date March FY '23. Despite this, we can see an encouraging rebound of J.P. Wiser's performance in the U.S. These results highlight our ability to navigate and adapt to the evolving market landscape, and we remain committed to leveraging opportunities for growth in the next quarters. So, to summarize our P&L results for year-to-date March, Corby had resilient revenue growth of 7%, bolstered by the strength of our portfolio, the new channel expansion in Ontario and the acquisition of Nude brands. Our total operating expenses increased by 6% at a slower pace comparing to the growth in our revenue, with strategic investments behind key strategic brands and disciplined spend management. As a result, Corby delivered a solid growth of 4% in adjusted EBITDA, underscoring our ability to effectively manage costs while expanding our revenue base. On a per share basis, our adjusted net earnings was $0.81 and reported net earnings were $0.75, reflecting growth of 1% and 11%, respectively, versus last year. Now moving to the next one. In the first 3 quarters, Corby generated $29.2 million of cash from operating activities, supported by higher net earnings underpinned by Nude acquisition and lapping the ABG acquisition-related costs incurred last year, as well as favorable working capital changes. These favorable working capital changes were driven primarily by the timing of spend. Our free cash flow turned positive and improved significantly year-over-year, benefiting from the lapping of last year, $136 million cash outflow related to the ABG acquisition. As a result, our net debt position was $99.1 million at the end of March, and our net debt to adjusted EBITDA ratio remained low at 1.6 times, demonstrating a robust solvency position and reinforces our financial health. Furthermore, Corby has an attractive dividend payout ratio at 54% on a rolling 12-month basis, highlighting the sustainability of the company's quarterly dividend. Notably, quarterly dividend payments increased by 10% in Q3 FY '25 compared to Q3 FY '24. These actions have contributed to a high dividend yield over recent years at 5.9% at the end of March, a consistent yield compared to FY '23 and FY '24. We are pleased with our results so far in the fiscal year, and we remain committed to delivering on our value proposition for our stakeholders and shareholders. Before I hand back to Nicolas, I want to finish with a final look at what's ahead for Corby. We know there are a few challenges in the market context, but we believe our clear strategy and the foundations we have discussed today leave us well-positioned for the last quarter of the fiscal year. Spirit market is forecasted to continue to decline in Q4, but we continue to target market share gains, thanks to the strength of our portfolio. We are closely monitoring our regulatory and trade changes, including the recent announcements regarding tariffs between the U.S. and Canada. We believe Corby is well-positioned to navigate the challenges ahead of us with our diversified portfolio, strong local footholds and execution strategy. We are going to continue to unlock the full potential of our RTD portfolio, including the realization of ABG and Nude sales with operational synergies throughout a successful integration. We are going to address consumer needs and keep agility in our dynamic approach to capitalize on Nude opportunities presented, like the route-to-market modernization in Ontario. And finally, as we have mentioned, revenue growth management and disciplined investments will remain a very important feature to protect our margins. Now, back to Nicolas for some closing remarks.
Nicolas Krantz: Thank you very much, Juan. Very clear. So, before we head into the Q&A session, just as we usually do, we'd like just to reiterate for us really what are the key reasons to invest in Corby. Five key points to keep in mind. So, Corby is, in fact, the largest public listed multi-beverage alcohol company in Canada. And really, our portfolio is one of the most comprehensive portfolio in the market. So, we are very proud of that. And of course, we know that this is delivering value. Coupled with our strong position here, we can leverage our close partnership with Group Pernod Ricard, which is the number 2 global players. That is giving us a lot of competitive advantage and weapon to win in this market. In past, we have operational excellence in our execution, really our sales and marketing execution [indiscernible] and we are well known for that. And it helps us to attract the best talent, and this is where we need to continue to deliver for the company. Finally, of course, the company is delivering what I will call financial consistency. We fundamentally are resilient. I will almost say no matter what, our revenue and our strong cash generation will be there. And this is, of course, continue to adapt our financial policy to maintain this. We know the dividend is an important feature for our shareholders. And of course, we will aim to continue to grow the dividend over time with our earnings. And with that, that's it for today. I want to thank you once again for joining us and hear a bit more detail about our year-to-date results. I look forward to sharing our full-year results in the coming months. And now if there is any questions, Juan and myself will be happy to answer any questions.
Operator: [Operator Instructions].
Nicolas Krantz: So, we see your questions. So, I'm going to read the questions. When your Canadian business is going to see the benefit from the U.S. security removed from shelves? What net benefit do you expect? So, the situation, of course, is a bit volatile. But what happened in the month of March is, of course, when the tariff threat were announced, two things happened. First, there has been some stocking of U.S. products made by licensees, ones and customers. So, we have seen for, I'd say, 10 days, a surge of those U.S. products. So that's what happened in March. But at the same time where the product were removed, we have seen, of course, a lot of empty shelfs and Corby, in particular, was able to come at full force and take advantage with the portfolio. So, as you know, we have a portfolio of strong Canadian brands with J.P. Wiser's Canadan whiskey, with Polaris vodka with Lam Rom. For example, against the Bourbon, I would probably highlight that we have a small brand called Lot 40, which is one of the best dry in the world and is growing extremely strongly right now. But of course, the liquor board did not order new, I would say, stock during the month of March. We're, in fact, facing a significant cash pressure because they were supposed to hold the inventory of those U.S. products, and they were depleting basically what they could. So, we, therefore, expect the dynamism of our Canadian portfolio to show up, of course, more in our shipments in Q4. And this is what we are monitoring. We have put in place a lot of what we have called all Canada plan in-store, but also with our consumers, with our main brands. So, we'll be driving quite a dynamic campaign, I would say, across the portfolio during Q4. Just want also to mention that it's true for the Canadian portfolio, but it is also true for some of our large brands. We have brands like Absolut Vodka or Jameson Whiskey, which are competitive -- competitors on some brands which have been removed as well from shelf. So overall, the portfolio is extremely well-positioned for Q4 in terms of market share. Now consumers have to show up and, of course, purchase. We don't control that. But in terms of relative strength to the market, we expect, of course, to take some benefits.
Operator: [Operator Instructions].
Nicolas Krantz: Maybe just to complement the first question, there is another one, which is the present question. And in terms of maybe Canadian consumers in favor of domestic product. The answer is yes. Overall, there is definitely a move from consumers to [indiscernible] domestic product, which is, by the way, not just more value-add category, which is not across the other cross categories, but in a major way, but it's true that the liquor board have made some space, I would say, for that. This is also true for our on-premise customers who have been very happy to support the Canadian portfolio. So overall, I would say, yes, there is definitely a sentiment for made-in-Canada right now in the market.
Operator: There are no further questions at this time. I would now like to turn the call over to Nicolas Krantz for closing remarks.
Nicolas Krantz: Very good. Listen, thank you very much for your time and attention. Again, we'll be looking forward to report our full year figure. I wish everybody a good week. And as we often say when we close our call, the best way to get to know our brands is to consume with moderation. The weekend is approaching. So, for us, it's also a big moment of consumption across our portfolio. So please enjoy your brand execution responsibly, and looking forward to reconnecting. Thank you very much.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.